Operator: Good day, and welcome to the NetEase First Quarter 2020 Earnings Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Margaret Shi, Investor Relations for NetEase. Please go ahead, ma'am.
Margaret Shi: Thank you, Operator. Please note, the discussion today will contain forward-looking statements relating to future performance of the company and are intended to qualify for the safe harbor from liability as established by the U.S. Private Securities Litigation Reform Act. Such statements are not guarantees of future performance and are subject to certain risks and uncertainties, assumptions and other factors. Some of these risks are beyond company's control and could cause actual results to differ materially from those mentioned in today's press release and this discussion. A general discussion of the risk factors that could affect NetEase business and financial results is included in certain filings of the company with the Securities and Exchange Commission, including its annual report on Form 20-F. The company does not undertake any obligation to update forward-looking information, except as required by law. During today's call, management will also discuss certain non-GAAP financial measures for comparison purposes only. For a definition of the non-GAAP financial measures and a reconciliation of GAAP to non-GAAP financial results, please see the 2020 first quarter earnings news release issued earlier today. As a reminder, this conference is being recorded. In addition, an investor presentation and a webcast replay of this conference call will be available on NetEase corporate website at ir.netease.com. Joining us today on the call from NetEase's senior management is Mr. William Ding, Chief Executive Officer; Mr. Charles Yang, Chief Financial Officer; and Mr. Hilton Hui, Co-President of NetEase Games. I will now turn the call over to Charles, who will read the prepared remarks on behalf of William.
Charles Yang: Thank you, Margaret, and thank you, everyone, for participating in today's call. Before we begin, I would like to remind everyone that all percentages are based on renminbi. Like every company around the globe, we started the year with a great deal of uncertainty amidst one of the world's worst health crisis. I am pleased to say that we have worked very hard to address the effects of the pandemic, providing help where we can and making the appropriate adjustments to our businesses to ensure the safety of our NetEase family. We believe many companies inside and outside of China will overcome this pandemic and come out strong. We had a good quarter, increasing our net revenues by 18% to CNY17.1 billion and our net income from continuing operations attributable to our shareholders was up by 30% to CNY3.6 billion, both on a year-over-year basis. For our online games, net revenues reached CNY13.5 billion in the first quarter on the back of our existing titles' stellar performances, growing 14% year-over-year even though 1Q 2019 was itself a very strong quarter for our game services a year ago. Our legacy PC titles such as the Fantasy Westward Journey and New Westward Journey Online II continued their strong performances in the first quarter with new expansion packs launched for the Chinese New Year holidays, introducing a series of new content. Quarterly revenues for these games broke new records, hitting another all-time high since their debuts almost 2 decades ago. Momentum for legacy mobile games was also strong as we continued to supply this large and sustainable user base with continual content updates. Take our Fantasy Westward Journey Mobile game as an example, where we introduced a brand-new character which quickly gained popularity and was a strong driver for gross billings. While we continue to dominate the MMO genre, many of our recent titles and categories that are relatively new for us have also shown remarkable success and sustainability, providing us with steady revenue streams in what is now a very diverse game portfolio. Invincible, Onmyoji, Identity V and Life-After, launched in 2015, '16, '18 and '18, respectively, serve as good examples of our superior game longevity within different game genres. Invincible, our 2015 launch, hit another quarter of record high gross billings and active users. We are pleased to see the game's strong traction in the SLG market. After more than 5 years of successful operations with Invincible, we have accumulated a solid SLG fan base and extensive expertise in this field. We look forward to developing more innovative games to delight our users in this engaging and thought-provoking genre. Onmyoji continues to show remarkable longevity as we consistently introduced new characters. These additions are resonating well with new game players, further solidifying the reach of Onmyoji as a leading ACG game. As the first of our younger IPs that we have created in-house, our goal for Onmyoji is to have an even larger and deeper impact on the vibrant community of young users. In addition to Onmyoji: The Card Game, the collectible card game we launched last year, and the upcoming simulation game, Onmyoji: Yokai Koya planned for later this year, we have more exciting new games in store based on the Onmyoji IP. Later today, this evening, Beijing time, at our May 20 game day event, we will introduce 2 new Onmyoji spin-off games in brand-new genres. Launched in 2018, Identity V and Life-After are also a few of our newer titles, attracting a large base of young fans and starting to demonstrate sustained longevity. Celebrating its second anniversary in April with a series of content updates, Identity V reached a milestone of 200 million registered users, attracting players with its characteristic art style and innovative game play. With Life-After, since its initial phase of stabilization, gross billings have been picking up steadily over the past few months as we launched a couple of highly popular expansion packs, introducing a series of new themes and innovative game play. We believe that Life-After will be another one of our titles that resonates with fans for many years to come. In terms of new titles, Fantasy Westward Journey 3D was launched at the end of 2019 and delivered a stable performance in the first quarter, further expanding the reach of the FWJ franchise as a whole and captivating both returning fans as well as a new audience. In April, we launched Dawn of Isles in China, previously known as Ages of Isle. As our newest MMORPG featuring sandbox game play, the game topped the iOS download chart soon after its launch and was featured by the iOS App Store. In overseas markets, we continue to gain market share in Japan. Knives Out and Identity V remain at the forefront of Japan's top-grossing games chart, and the user bases for both games are growing at a strong pace. The success of these games has helped us to gain a much better understanding of Japanese users and their preferences, allowing us to better tailor our games for the Japanese market. We have integrated this successful experience and know-how into the design of other NetEase games, enhancing our ability to deliver popular titles to global audience. At the end of 2019, we began operating Invincible in Japan ourselves. With our proficiency in operating this game domestically, along with our newly acquired understanding of Japanese user preferences, we saw a steady increase in Invincible's revenues in the first quarter. Now turning to our game pipelines. Many of the games under development have the potential to achieve mass audience appeal, transcending geographies and spanning multiple genres. We have a number of these exciting new releases planned for 2020, which we expect to help us gain more brand recognition in the broader global markets, particularly in the U.S. and European markets. As announced 2 days ago, EVE Echoes is ready for its global launch in August. Additionally, other exciting upcoming titles include Fantasy Westward Journey H5 version, King of Hunters, PES Club Manager, Onmyoji: Yokai Koya, Ghost World Chronicle, Revelation mobile game, Harry Potter: Magic Awakened, Diablo Immortal, Pokémon Quest and MARVEL Duel. Now for our education business. Youdao started the year off on a strong note with healthy gains across many of its primary financial metrics. Total net revenues accelerated by 140% year-over-year to CNY541 million and operating cash flow turned positive for the first time. We are seeing an increasing adoption rate of online education due in large part to the structural effects of the pandemic. Online courses generated gross billings of CNY519 million, up 287% year-over-year, primarily due to continued enhancement to our course content and product. To match the needs of newly enrolled students during the pandemic, Youdao quickly developed and refined new product, helping students receive the most effective teaching online, especially for those taking entrance exams this year. In line with the growing enrollment, we carefully crafted a few more products, including junior high school Math, high school English courses, which received wide popularity. We also expanded our education team to over 1,000 instructors and teaching assistants who are well-trained and incentivized to give our students the most tailored and personal support they need. During the quarter, we further enhanced our technology offering. With the launch of AI essay assessment in our dictionary app, a feature that automatically grade and offer suggestions to improve English writing. Going forward, Youdao will continue to build up its largely scalable business model and provide users with effective educational experiences empowered by great content and technology. For our Cloud Music business, we are also growing and proud to have celebrated NetEase Cloud Music's 7th anniversary in April. Revenue from our Cloud Music platform continued to accelerate with high speed, achieving triple-digit growth year-over-year in the first quarter and record-high membership revenue. Live streaming revenue is also growing at a rapid pace. In the first quarter, we released several online live events that were particularly poignant during the pandemic outbreak and helped to support our independent musician and their ability to distribute. These include the Bedroom Live Music Festival, where well-known musicians performed at home via live streaming; and Indie Live, a high-quality broadcast of independent brands -- bands' live shows. While we maintain a competitive edge in our regional music with now over 160,000 independent musicians on our platform, we are also looking to provide music from all over the globe to expand our music library. In March, we added popular Japanese music to our platform through our distribution agreement with Studio Ghibli, one of the most acclaimed animation studios in the world. Further adding to our catalog of songs, we recently signed a strategic partnership with Rock Records, one of the largest record labels in China. All in all, as with all of our businesses, innovation is key. Along these lines, our music platform's largest progression includes a newly launched karaoke offering for our young people. Moving ahead, we will continue to make sensible investments in content and innovation to remain relevant and competitive in the exciting world of music. Turning our focus to Yanxuan. After a short 4 years, we have developed a distinct and recognizable brand with a number of notable, self-developed products that appeal to a wide range of consumers. In particular, Yanxuan has made a name for itself with distinctive offerings in housing, personal care and food categories. During the first quarter, we upgraded our membership offering to a pro membership to include more benefits, attracting a considerable new constituency. New memberships rose by 138% year-over-year, owning to our innovative marketing approaches such as collaborating with top live streaming celebrities. Meanwhile, our inventory has been managed to a healthy level as we continuously optimize our procurement and reduced obsolete inventory. Overall, we had a strong start to 2020. Our primary business lines grew during the first quarter and we are pleased to have advanced our mission to bring inspiring leading products and services to our growing community of followers. We will press forward as we have done for the past 2 decades, with our eyes on the long-term and plans to reach incremental gains along the way. This concludes William's prepared remarks. I will now provide a brief review of our 2020 first quarter financial results. Given the limited time on today's call, I will be presenting some abbreviated financial highlights. We encourage you to read through our press release issued earlier today for further details. Total net revenues for the first quarter were CNY17.1 billion or USD 2.4 billion, representing an 18% increase year-over-year. Net revenue from online game services were CNY13.5 billion, up 14% year-over-year. This increase was primarily driven by the strong performance of our flagship titles in FWJ franchises, New Westward Journey II as well as Blizzard's World of Warcraft. Mobile games accounted for approximately 70% of net revenues from our online games in the first quarter. Net revenues from Youdao also increased 140% year-over-year in the first quarter, reaching CNY541 million, primarily due to the increased net revenues from online courses with a rapid increase in K12 paid enrollment and sales of intelligent learning devices. Net revenues from innovative businesses and others were CNY3 billion for the first quarter, up 28% year-over-year, mainly due to increased contribution from NetEase Cloud Music and CC live streaming. Overall gross margin was 55% in the first quarter. GP margin for our online game services for the first quarter was 64.1%. Our gross margin for online games is generally stable, fluctuating quarter-to-quarter within a narrow bandwidth based on the revenue mix of mobile and PC as well as self-developed and licensed games. Youdao's gross margin expanded sharply to 43.5% in the first quarter, a vast improvement from 29.8% in the last quarter. This was primarily driven by the achievement of economies of scale and better faculty compensation structure. Gross margin for innovative businesses and others for the first quarter was 15.8%, up from 5.7% year-over-year. The improvement comes primarily from significantly increased revenue from our NetEase Cloud Music business. For the first quarter, total operating expenses were CNY4.9 billion. Our selling and marketing expenses as a percentage of net revenue was 10.9% compared with 13.7% in the prior quarter. The quarter-over-quarter decrease was a result of less spending in online game promotion and Cloud Music during this quarter. R&D expenses were CNY2.1 billion, up 5% year-over-year. We remain committed to investing in innovative content creation and product development, which is what's defining us as a technology company. The effective tax rate was 22% for the first quarter, relatively flat with the prior period and down from 31% in the first quarter of 2019. Non-GAAP net income from continuing operations attributable to our shareholders for the first quarter was CNY4.2 billion or USD 595 million, representing increase of 15% quarter-over-quarter and nearly 26% year-over-year. Our non-GAAP diluted earnings per ADS from continuing operations were CNY32.17 or USD 4.54 for the first quarter of 2020. Our cash position remains strong. As of March 31, 2020, our total cash and cash equivalents, current and noncurrent time deposits and short-term investment balance totaled CNY79.3 billion compared with CNY74.4 billion as of the end of last year. In accordance with our dividend policy, we are pleased to report that our Board of Directors has approved a dividend of USD 1.16 per ADS for this quarter. This represents a regular dividend-paying stream since 2013. On February 26, 2020, we announced the Board approval for a new share repurchase program for up to USD 1 billion of our outstanding ADS. And we announced an amendment to such program earlier today to increase the total authorized repurchase amount from the original $1 billion to USD 2 billion. As of March 31, 2020, approximately 1.1 billion ADS has been repurchased for a total consideration of USD 342 million. Thank you for your attention. We would like now to open the call to your questions. Operator, please go ahead with Q&A.
Operator: [Operator Instructions]. We will take our first question from the line of Alex Poon from Morgan Stanley.
Alex Poon: I'll translate my questions. First question is regarding the lessons learned from COVID-19 regarding the game business. Many game genres have become very popular during this period, no matter it is mobile or shooting games and also casual games as well. So in terms of user acquisition, retention, game genre, development strategy, do we have some new thoughts, new ideas after this COVID-19? My second question is regarding the music business. Top line growth is very strong. How should we think about the product development and margin trend in 2020?
William Ding: Alex, I will provide a brief translation of William's remarks. Firstly, on games. During the pandemic, we have seen games becoming a center event for family members staying together in-house so they have more time spent together as a family as a whole to get joy and excitement and some relief from game as a broad entertainment. It is also a boost to new game users during the past quarter. These will be obviously translated into our thinking of how to focus more on R&D self-development of games that can create a bonding opportunity for family members as a whole going forward. For the music, and William emphasized, in fact, reemphasized from his prior remarks, that the ambition, the mission of NetEase Cloud Music platform is we want to create a vast environment to support development of China's independent musicians, people with talent who can express themselves and distribute their products to a group of music enthusiasts with passion, with the exploration of new diversified -- different genres of songs. And I think for the foreseeable future, that is our key focus of development. You also asked about the margin trend. I think that as we continue to grow the scale and diversification of our music revenue stream possibilities, we will naturally benefit a lot from economies of scale with the enhancement of margin trend. And I think on the margin trend, we are also quite optimistic. I hope that answers your question, Alex.
Operator: We will take our next question from Alicia Yap from Citigroup.
Alicia Yap: Good morning, William and Charles. Congrats on the results. My question is on your gaming business. As many other companies are seeing the normalizing trend of the gamers' traffic and activity post the lockdown lift-off, how does that trend looking for NetEase games? And how should we think about the offsetting factor with your deferred revenue for the second quarter and also the lockdown in overseas that might benefit the overseas gaming [browsing] [ph]?
Charles Yang: Okay. Alicia, do you want to translate your question yourself?
Alicia Yap: Sure. [Foreign Language] 
William Ding: I will provide a brief translation of William's remarks. So he commented, Alicia, I think your observation is right. However, that is a short-term volatility, I think, across the board, as you mentioned, other game companies and us might be seeing, however, William emphasized that the growth engine of NetEase games is our ability to continuously produce in-house and launch new game titles as well as our ambition of becoming a more globalized game company with more exciting titles launched into overseas markets such as Japan and hopefully very soon in the mainstream Western market. With all that, we are not overly concerned about these short-term volatilities and we are very, very optimistic about the outlook of NetEase games growth driven by the diversification of new titles as well as diversification of new geographies.
Operator: We will take our next question from the line of Natalie Wu from China International Capital Corporation.
Natalie Wu: Congratulations on a very solid quarter. I will translate myself. So I have 2 questions. First one is regarding the PC game. So your PC game outperformed the industry despite a [hold-off] [ph] operation of the net cafe, which is quite encouraging. It would be great if management can share with us some thoughts of the future outlook for that segment. And second one is regarding Harry Potter. So just wondering if the game is ready but still need time to get approval in domestic China market? Will you decide to wait for the license or will you launch it firstly in overseas regions?
William Ding: Okay. So yes, Natalie, I will translate William's comments for everyone's broader benefit for the first question and I will answer the question on Harry Potter. So firstly, what we observed is that during the global pandemic, PC and console games, in general, have seen an increasing trend as more people are spending time at home. And it is not so much correlated to the Internet cafe's operation as you can see from our game results because our PC games are legacy titles running for over a decade. In case of FWJ, we see a record quarter since its debut almost 17 years ago. And we are very confident about the sustained gross billing popularity of our flagship PC games. For the time being, our main concentrated focus of new game development is tilted towards mobile games. So launch of new PC games will be opportunistic. We do not have a regular agenda like we regularly launch new mobile games. So that's to your first question.  Second question, Harry Potter. We are very excited about Harry Potter. It is a strong IP globally and we are confident in our R&D ability to convert this IP into an exciting game title. I think it's too early to predict about the situation on regulatory approval in China. And when it comes to the stage when the game is ready for launch, whether we will do a global simultaneous launch or whether we will do overseas launch first followed by domestic upon the approval, both are possibilities and we will decide that later when the game is more advanced.
Operator: We will take our next question from Shi Jialong from Nomura.
Shi Jialong: First of all, congratulations on a very solid quarter. I have two questions. First question is about NetEase online gaming business. Just wondering how much of NetEase online gaming revenue was contributed by overseas market in 1Q? My second question is about NetEase music business. According to various media reports, it seems to me, NetEase music has accelerated the purchase of licensed content since this year, including the recent licensing agreement with top global record labels as well as the exclusive purchase of some of the highly rated music shows. I was just wondering why it seems NetEase music became more aggressive on content purchase?
William Ding: Jialong, first question. Overseas, first quarter, our overseas revenue accounts for slightly more than 10% of our total game revenue, consistent with our level of last year. But we are very confident to continue to grow and even very strongly to grow this revenue contribution from the overseas game market in the next 3 to 5 years.
William Ding: I'll provide a quick translation of William's remarks. So first of all, our dedication to support and promote independent musicians and native IPs are not mutually exclusive with our deep respect and open-minded, strong collaboration with music label companies. In fact, in the past, there are obstacles in the industry preventing us from purchasing music content and music IPs directly from label companies. We are very, very active in, indeed, a collaboration with all these highly regarded label companies in an effort to acquire music IPs, content copyright. And we'll utilize our efficiency and our massive user scale of the NetEase Cloud Music to distribute their music content to a group of music enthusiast lovers. And we also want to reiterate that we hope that the whole industry in China and all the players in China can spend more focus, effort and resources into promoting native IP, organic music from independent musicians because I think it is going to be a much bigger ambition for the entire industry to see the rising of Chinese music, Chinese musicians as a whole to play a much bigger role on the global audience, on the global stage.
Operator: We will take our next question from the line of Eddie Leung from Bank of America Merrill Lynch.
Eddie Leung: So my question is about the new game launch. Historically, when we have a big year of a lot of new games to be launched, typically, the marketing spending ratio would go up. So just wondering what could be the pattern this year? And whether there would be different ways to promote new games?
William Ding: Okay. Yes. Eddie, your question is -- okay. Eddie, your question is on our outlook of marketing expenses. I want to reemphasize one point. NetEase games focuses a lot on self-developed in-house-developed games. As such, we are always excited about our lineups of new games. Whenever we consider promoting a new game, it is always a return-driven exercise internally. Depending on our projections of the game's performance and expectations of the gross billing, then we allocate marketing resources in a very sensible way. That is why I think in the prior quarters, I also made remarks that try not to look too much into the quarter-over-quarter fluctuations of the marketing spending dollars. In fact, if you look at my marketing dollars as a percentage of the overall revenue on the full year trend, last year, we controlled it at around 10%, a significant decrease from the prior 2 years. However, absolute dollars is not shrinking. That is because we are more sensible. We are more conscious about the return generation on my marketing dollars with more new game titles. Yes, we are going to spend more marketing dollars, but we are even more optimistic that with effective promotion, the new games are going to generate even faster return for us at the top line. So on the financial planning aspect, NetEase remains prudent and sensible.
Operator: We will take our next question from the line of Alex Liu from China Renaissance.
Alex Liu: I'll translate myself. My first question is on the cash allocation. We have very good cash flow on our core business and also a very solid cash balance. Just wondering, should we think about the enlarged stock repurchase program and perhaps further stock repurchase program as a more occurring practice down the road? And the second question is on the deferred revenue. Deferred revenue balance was very strong this quarter. And I was wondering if the management could give some color on this growth and whether it's due to the mix change between PC and mobile game.
William Ding: Okay. Alex, for your first question, our treasury policy is always very prudent. We are one of the very, very few tech companies globally that pays a regular dividend. In fact, we've been paying a regular dividend since 2013 and we will continue to do so, returning value to our shareholders, especially long-term shareholders who has been supporting us in the journey of the growth over the last 2 decades. The stock buyback program is also a regular exercise for a couple of years. And when the situation requires and then within our ability, we can go back to the Board, just like this time, seeking for the authorization of enhanced dollar amount for the overall stock buyback. So that is on the treasury cash management aspect. For your deferred revenue, we don't further break down exactly on the composition, but I think you are right. In Q1, if I remember correctly, it is probably another record quarter for both recognized revenue as well as deferred revenue. And again, largely, it's underpinned by the gross billings and the growth of both PC lines as well as mobile lines of games, largely consistent with what you are seeing in the year-over-year growth for the recognized revenue. Youdao also contributed to a certain extent, of course, but then you can refer to Youdao's public filing for the deferred revenue incremental portion.
Operator: We will take our next question from the line of Binnie Wong from HSBC.
Binnie Wong: Good morning, William, Charles and Margaret. I'll quickly translate myself. Post the COVID-19, do you think that it actually changes in terms of how we view our overseas games expansion plan? What are the new opportunities that we also see? And how do we see our target in the next 3 to 5 years? How does that change or that remain the same? And then in terms of your upcoming game launches, which one do you think -- because these are all very highly anticipated, which one do you think that we probably will see launches soon? And then in terms of -- how do you see the significance of those?
William Ding: So I will provide a brief translation of William's remarks. So firstly, how the pandemic situation globally would affect our thinking of game promotions, particularly in the overseas market. William's comment is that, generally speaking, the pandemic situation requires people to spend more time in house. So it is a structural tailwind for overall activities that happen at home, playing video games, watching drama, et cetera. And that, we think, is going to also benefit our game promotions because this content is having more user time, so to speak, on a global scale, and we are not particularly concerned about the pandemic situation disrupting our plan, our original plan of game launches. Especially for these mature overseas markets, users are more attracted and emphasize a lot on game quality. I think that is our biggest selling point. It is the quality of the NetEase games. And second, you asked on the approval process and our expectation on the overseas games. It's really difficult for us to do a force ranking, which one is #1, which one is number two, because for all these projects, since the inception of the project business planning, we think they are all great products, representing highest quality in their respective genre to target a trend to a very different segment of target users. So we are very excited. Some of the games can be launched as early as the middle of this year and some might have to wait until the second half, later part of this year. And William draws also a closing remark that he himself personally, throughout and given the pandemic situation, he's actually been thinking and giving a lot of more thought in terms of how game content can be designed and developed and how game content can be distributed to fulfill a better social responsibility and value to families, to people around the globe.
Operator: We will take our next question from the line of Thomas Chong from Jefferies.
Thomas Chong: William, Charles and Margaret, I have a question, back to the music business. Given the fact that we have been also monetizing for the live streaming business models, can you comment about how we should think about the competition in the live streaming space as well as the competition with short form video?
William Ding: So in the interest of time, I will provide a brief translation of William's remarks just now. So broadcasting is just one way of us thinking how we can monetize our NetEase Cloud Music platform. It is not the only way and we will continue to explore different and innovative and diversified ways of monetization in a sensible and user-appealing way. And -- but the essence of us, the biggest ambition and the mission of us doing the NetEase Cloud Music platform is that we want to contribute whenever we can within our ability to help promote and better enhance the Chinese music industry as a whole. It might look very different from mature market in the Western world, but we think Chinese music market is huge with huge upside potential and it could allow multiple players to develop its respective differentiated competitiveness, advantage and edge in collectively making China's online music industry a better and a more promising industry.
Operator: Due to time limit, that concludes today's questions-and-answer session. At this time, I will turn the conference back to Margaret Shi for any additional or closing remarks.
Margaret Shi: Thank you once again for joining us today. If you have any further questions, please feel free to contact us directly or TPG Investor Relations. Have a great day. Thank you.
Charles Yang: Okay. Thank you, everyone.
Operator: That concludes today's conference. Thank you, everyone, for your participation. You may now disconnect.